Operator: Good morning ladies and gentlemen. My name is Sally, and I will be your conference operator today. At this time I would like to welcome everyone to the Franco-Nevada Corporation’s First Quarter Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks there will be a question-and-answer session. (Operator Instructions). Thank you. Mr. Stefan Axell, Manager of Investor Relations. You may begin your conference.
Stefan Axell: Thank you, Sally. Good morning, everyone. We are pleased that you have joined us today for the Franco-Nevada first quarter 2014 results conference call. As Franco-Nevada just recently released our 2013 results and provided guidance for 2014 at the end of March we anticipate this being a relatively short call with Sandip Rana our CFO, providing a review of the Q1 results. With that said we do have the entire management team including representatives from our Australia, Finn, U.S and Barbados operations here available for any questions during the Q&A. Accompanying our call today is a brief presentation, which is available on our website where you will also find our Q1, 2014 MD&A and financial results. Before we begin formal remarks we would like to remind participants that some of today’s commentary may contain forward-looking information. And refer you to detailed cautionary note on slide two of our presentation. I’ll now turn the call over to Sandip Rana, CFO of Franco-Nevada.
Sandip Rana: Thank you, Stefan. Good morning, everyone. Thank you for taking the time to join us on our call to discuss the company’s financial results for the three month ended March 31, 2014. As you will have seen from the press release issued yesterday, the company had another solid quarter. Our overall royalty and stream operations continued to perform well. Turning to slide three, you will see two charts on the page. The first chart highlights the average gold price for each of the last five quarters. I think you can see it has been a steady decline with Q1, 2014 gold price averaging $1,294 per ounce. This is a 21% decrease from Q1, 2013 when the gold price averaged $1,630 per ounce. The first three months of 2014 continued to be a volatile period for the gold price with it trading as low as $1,221 per ounce and as high as $1,385 per ounce. Although the average price for Q1, 2014 was slightly higher than fourth quarter of 2013 it has been an overall downward trend in the gold price for last 15 months. Platinum prices were also lower in the quarter with the average price for Q1 down approximately 13% year-over-year. The volatility in commodity prices does impact the company’s metal asset revenue which does not necessarily highlight the strength of our portfolio. As a result beginning in 2013 we did begin reporting gold equivalent ounces as we believe this is a better metric to measure performance. As you can see on the bottom chart on slide three the gold equivalent ounces received by the company increased 11.8% year-over-year to 65,836 GEOs compared to 58,893 a year ago. Of the 65,836, 54,000 were from the gold assets. This increase is due to a strong performance from our Canadian and international mineral assets. Specifically the company benefited from the addition of the Sabodala stream acquisition which was made late last year but closed in Q1, 2014. Under the stream agreement the company received 5,625 gold ounces for the first quarter resulting in $7.3 million in revenue. The company also benefited from the continued ramp up at Detour. This property began production in February of 2013 delivering minimal ounces last year but however in Q1, 2014 Franco received approximately 2,000 gold ounces which will continue to increase as the property continues to ramp up. Goldstrike was also a strong contributor in the quarter as we did received an NPI payment from the property. And as you will recall the NPI was impacted in 2013 due to higher capital spending at the property. Although that spending is still expected to continue for the first half of 2014, higher production combined with lower cost did result in the higher NPI payment this quarter. With respect to the gold equivalent ounces from the PGM asset the company received 8,690 gold equivalent ounces which was lower than first quarter of 2013. This was a result of less production from our Sudbury streams. Turning to slide four, you can see that the overall revenue earned by the company was $104.1 million for the quarter. It was a decrease of 4.3% versus Q1, 2013. The significant decrease in the average gold price of 21% and the 13% decrease in the platinum price did negatively affect revenue but the impact was partially offset by the higher gold equivalent ounces received in Q1, 2014 compared to the prior year as-well-as higher oil and gas revenue. The chart on the bottom of the slide highlights the oil and gas revenue for the quarter. As you can see this division generated $18.7 million in revenue for the quarter compared to $13.9 million a year ago, an increase of 35%. This increase is mainly the result of higher realized net oil prices during the quarter. The bulk of the oil and gas revenue approximately 75% is generated from the Weyburn unit where the company has both royalties and working interest. Weyburn revenue was higher by 42% in first quarter versus prior year. The net oil price realized on the Weyburn NRI which is the largest component during Q1, 2014 was $92 Canadian per barrel compared to approximately $79 Canadian last year, a 17.5% increase. As you can see on the chart there is some volatility in the revenue generated by the oil and gas division in 2013 this was due to significant moves in both the oil price and the price differentials during the year especially in Q3, 2013. As you turn to slide 5, you will see the key financial results for the company. As mentioned the company earned 11.8% higher deals in the quarter resulting in revenue of $104.1 million, this was 4.3% lower than 2013. Operating income was lower than the prior year due to the lower revenue but also due to higher depletion as a result of the Sabodala acquisition and higher depletion related to the assets that contributed the additional gold equivalent ounces. Adjusted EBITDA was $84.8 million for the quarter down from $89.1 million or 4.8% almost entirely due to the lower revenue. Net income was the same as prior year at $35.4 million while adjusted net income was also $35.4 million this quarter down from $40.6 million a year ago. On a per share basis adjusted net income was $0.24 per share compared to $0.28 per share in Q1, 2013. One of the key advantages that we like to say of our business model is scalability. Our costs have increased over the last few years as you can see on slide 6. The increase is mainly due to the addition of streams to our business but these are variable cost. Stream cost will increase as the company receives more ounces which is a positive. In general you have to pay $400 per ounce for each ounce of gold delivered which after a period of time is adjusted for an inflation factor. However for the Sabodala transaction the company is paying 20% of spot price at time of delivery rather than the $400 per ounce. But I think what is most important on this slide is the fixed cost. These are the company’s corporate administration cost and as you can see they have remained fairly constant each year while revenue has increased significantly over this timeframe. Corporate administration costs continue to be less than 5% of revenue. As illustrated on the chart the company continues to maintain a very strong margin which was 81.5% for Q1, 2014. Unlike the operators our business is not directly affected by operating and capital cost – As you turn to slide 7 the geographic revenue profile continues to be lower risk with 78% of revenue being from North America and Australia with Canada being the largest contributor. The other portion has increased as more royalties and streams come from Africa such as Sabodala and Subika. For Q1, 2014 79% of revenue was generated in precious metals with 18% from oil and gas and 3% from other minerals. Also please note that the diversification by asset is also expanding as the company is now benefiting from 47 revenue generating mineral assets. On slide 8, you can see that the company still has a strong balance sheet with 770 – working capital at the end of quarter. And including our credit facility and some of our more liquid investments our total available capital is about $1.3 billion. We continue to have the liquidity to complete transaction and add additional assets to our portfolio. And with that I’ll now turn it over to the operator, as Stefan mentioned management is here to answer any questions. Thank you.
Operator: (Operator Instructions). Your first question comes from the line of Andrew Quail with Goldman Sachs. Your line is open.
Andrew Quail – Goldman Sachs: Hi. Good morning guys. Thanks very much for the update and congratulations on another solid quarter. I’ve a couple of questions, first one on Palmarejo. What’s the trend that you’re seeing sort of into the second half of the year and to make sure given there has been some steady decline over the last few quarters?
Stefan Axell: Thanks, Andrew with respect to Palmarejo in that contract we have a guaranteed minimum of 50,000 ounces per year or 4,167 ounces per month. So under agreement we will delivered that gold required to sort of what’s happening at the property. So for this – for the rest of the – at this time we would expect the minimum each month and then 50,000 ounces next year.
Andrew Quail – Goldman Sachs: Okay. And one on Cobre Panama, do you guys sort of have any sort of timeline when negotiations with First Quantum might conclude?
David Harquail: Andrew this is David Harquail here. It’s hard to forecast, I think we’re still expecting to spend or contribute $200 million later in the year. As you know First Quantum had to ask from us, they want a simplified reporting regime and so relief on the security arrangements and we’re quite amenable to do something that’s mutually beneficial for both sides there. In terms of the timing it’s not really the big spend here for First Quantum. I think the big spending will be next year as-well-as I think First Quantum telegraphed in the last conference call that they are also working with their Canadian partners in terms of seeing how that would develop going forward. So I think the timing in terms of when we will come to agreement with First Quantum it’s not immediate, it’s going to take a bit of time, so we hope to report something later this year.
Andrew Quail – Goldman Sachs: Thanks very much, David.
Operator: Your next question comes from the line of Cosmos Chiu with CIBC. Your line is open.
Cosmos Chiu – CIBC: Good morning and thanks David and team for hosting the call. Congrats on a very good quarter once again. Maybe my first question can be on the how Franco-Nevada receives your royalty and we know that for example at Detour you received the royalty in kind, could you first off remind us of the assets which you will be receiving your royalties in kind and what’s kind of like the general overall policy behind that what do you prefer?
Sandip Rana: Okay. Hi, Cosmos Sandip here. Obviously on the streams we receive those in kind and we sell them and that’s when we book our revenue. And they have a quick turnaround within 24 to 48 hours we sell those ounces. On the royalty side we do receive ounces from Detour, Kirkland Lake and Palmarejo which is under the stream. Out our internal policy right now is not – we’re not accumulating gold for an extended period of time. I’d say that we try to rollover the gold ounces on a 90 day basis.
Cosmos Chiu – CIBC: Great. And then maybe turning to South Africa given continuing labor disruptions in that country, could you maybe summarize for us in terms of Franco-Nevada certainly and also maybe at Pandora and maybe some other assets as well in terms of what the impact would be to Franco?
David Harquail: Cosmos, David here again. I think on South Africa I think actually we’ve been pleased, both on mine waste solutions and – are in stronger hands than they used to be, so those operators are able to sort of withstand the buffeting. Also think of mine weight if you looked at the numbers last year they were well ahead of the previous year and it seems to be tracking ahead of budget for us. So it seemed to be steady if not a material producer for us right now doing fine. On Pandora it’s a bit of black box for us right now, it is the profit royalty there. It’s never been a significant one but we did get some net profit payments last year on it. We don’t – we can’t predict what we will do in terms of net profit on that one this year. The only thing about Pandora is it could be a bit of sleeper asset. There is almost I think 30 million ounces in reserve on that property and the mining is now moving on to almost fully on to our reserve royalty block. We didn’t have the shallower part of the reef but it’s now moving deeper. So one of the ones I like if things can go steady state in South Africa we think we’re sitting on a 5% royalty on one of the largest developed platinum properties in South Africa and it could give us some good leverage with stronger platinum prices and a more steady I guess working environment in South Africa. But right now it’s not a big part of any of our guidance numbers, so I think it’s Sandip I don’t think we have it in our guidance at all.
Cosmos Chiu – CIBC: Yeah.
David Harquail: So I just see it as a potential upside for us but I rather be conservative on the outlook for that.
Cosmos Chiu – CIBC: I only asked David as you called it it’s a sleeper asset I remember it like three or four years ago out of nowhere I think out of Q4 you received a pretty nice paycheck from Pandora. So I am just trying to guess if the same thing is going to happen again but as you call it, it’s a sleeper asset, it’s nice when you get it I guess?
David Harquail: Yes. Absolutely right. And we actually had a quite few of those in the portfolio and that’s what we think.
Cosmos Chiu – CIBC: Yeah and maybe turning to the other assets here where the water is seeding down. Could you give us a sense in terms of how the ramp up is going I think planning to get back up to kind of full capacity within a pretty short period of time, I don’t know as close it so I just want to see maybe just a quick update on that as well at Garden Well and also Rosemont?
David Harquail: Well, Cosmos, it’s my delight, I have my Managing Director Kevin Mcelligott.
Cosmos Chiu – CIBC: Hey, Kevin.
David Harquail: So, I am going to give him the claim to the same right now.
Cosmos Chiu – CIBC: Cool.
Kevin Mcelligott: Okay. Well I do just to give a couple of quick notes there. Yes we were impacted by flooding but they have replaced that by purchasing stockpiles there at the time. So they are just – production’s down because they are putting lower grade ore through the plant. And their expectations is by the beginning in Q3, so not far away right now, they should – the impacts of flooding should be gone, they should be back in the parts of the mine that they want to be in, back on. And at Rosemont they have got small experiencing there from 1.5 million to 2 million tonnes so which is also supposed to kick in early in the Q3. So the first half is – the first quarter was pretty rough on them. The second quarter won’t be great either, they will have all the tonnage but it’s low grade and but by early Q3 they should be back on track.
Cosmos Chiu – CIBC: Great. Thank you. That’s all I have. Thanks.
Kevin Mcelligott: Thanks, Cosmos.
Operator: (Operator Instructions) Your next question comes from the line of David Haughton with BMO. Your line is open.
David Haughton – BMO Capital Markets: Hi, good morning David and Sandip and also Kevin – those questions. Just circling back to the Cobre Panama it looks as though First Quantum might have spent more than a $1 billion so far and you have not contributed yet. Is there any hang-up on your draw down of your funds as far as the contribution goes to the CapEx?
David Harquail: David, David Harquail here again. No actually we’re absolutely keen to maintain our interest in the asset, we are very keen to contribute to the operation. I think one of the things you should know is that the reserves have expanded significantly since we made our initial investment and since then First Quantum is now engineering the operation that’s going to be 17% larger in throughput capacity than what we first invested in it. So we still see lots of gold optionality on this property. We think it’s going to be a great long-term investment. I think that right now we have a mutual agreement not contribute until we sort out these two issues that we just talked about. And I think First Quantum really because they were had just taken over the operation, they weren’t really in a position to provide all the reports that were required under our original agreement. So I think essentially we’re giving them a breathing space and I think First Quantum is looking at I guess the overall picture in terms of what they can do with this operation. But we remain commitment to it, to the negotiations it’s just nothing is really pressing to get these issues sort because First Quantum has been sorting up their financial arrangements and I think they will get to focusing on our arrangements soon. But I don’t see any major issue in terms of what we have here. I just remind everyone that we’ve been doing the royalty business now for 27 years if you include the overall Franco-Nevada and we’ve never had a legal fight with any of our operator’s that we would have to had to have resolved in the court. We understand what mining is about that is lot of challenges operator’s. The last thing we want to be is a challenger or a problem for an operator. We see ourselves as a partner with our operators and we’re very pragmatic in terms of going forward. We’re looking to accommodate some of First Quantum’s desires as long as we can see it as mutually beneficial.
David Haughton – BMO Capital Markets: Okay. So can they continue to spend sizable amounts of money for the balance of the year and you will still not contribute if you are in a bit of a holding – until these other issues are sorted out?
David Harquail: We have a lot of financial flexibility. They just expanded their credit arrangement, they just doing a note issue right now, they generate good cash from their operations. So the nature of the First Quantum is that it’s a much stronger company than we were dealing within that. So that’s why I think they have a good point – . So we need all the requirements that we had under agreement with First Quantum and that’s why we will be pragmatic. I think there is some relief we can give them on some of the provisions of the contract and we just I think they have not really had enough time to focus on this particular issue. We’re ready and willing to bring this to inclusion very quickly.
David Haughton – BMO Capital Markets: Is there a circumstance where they could sell it without your contribution?
David Harquail: As far as we’re concerned is we think the gold has already been sold to us. That we’ve made a financial contribution by lending our balance sheet to get this project going forward. And so and our view is that if they get the money we’re still entitled to the gold.
David Haughton – BMO Capital Markets: That’s quite interesting. And I guess was there additional sources of funding. It almost seems as though they are thinking about that going along without your contribution?
David Harquail: You will have to ask them about that.
David Haughton – BMO Capital Markets: In another circumstance if they were to decide in the worst case and I am not saying that they would, that they begin to develop the project do you have some say?
David Harquail: No, and I think in terms of we’re totally passive it’s up to the operator in terms of their timing and how they execute on that project. Our own due diligence method in terms of looking at properties, is we’re trying to make an estimate in terms of what’s the most likely scenario for these properties to get developed. We believe most operators are focused to maximizing the output from their properties and development of their resources and we benefit from that. But we’re not going to be involved in terms of – managing the operators in terms of their own development decisions or their capital timing decisions. So we’re willing to defer those decisions to the operator. We have no minimum requirements in this particular contract.
David Haughton – BMO Capital Markets: And in your contract are there any provisions where First Quantum could do so for instance?
David Harquail: No, there are not.
David Haughton – BMO Capital Markets: Okay. Well thank you, David.
David Harquail: Thanks, David.
Operator: Your next question comes from the line of Chris Lichtenheldt with Dundee Capital Markets. Your line is open.
Chris Lichtenheldt – Dundee Capital Markets: Good morning everyone. Just an accounting question I think on in the investing section of your cash flow statement you disclosed that you had $30 million of inflow from the sale of bullion. Is that just selling bullion that you received in kind previous periods?
Sandip Rana: Yes, it is.
Chris Lichtenheldt – Dundee Capital Markets: Okay. And then just where is that on the balance sheet up until the point where it actually monetized?
Sandip Rana: I am sorry it’s under other assets.
Chris Lichtenheldt – Dundee Capital Markets: Other assets, okay. That’s all I wanted to. Thanks a lot.
Operator: Your next question comes from the line of Robert Reynolds with Credit Suisse. Your line is open.
Robert Reynolds – Credit Suisse: Good morning, guys. My question relates to your balance sheet. I was hoping you could touch first on what you would see as a minimum cash balance you would want to keep on your balance sheet. And then secondly taking into account the $1 billion commitment to First Quantum what do you see as your capacity or funding capacity for further future acquisitions?
David Harquail: Robert, it’s David Harquail here. I think as we show we’ve above $1.3 billion in liquidity right now in this company. We’re generating EBITDA in the nature of above $300 million per year. The way we look at Cobre Panama is that effectively it’s going to take three years to build it, so the majority of Cobre Panama will essentially be funded from ongoing cash flow from our company. And so we would actually look at the existing $1.3 billion as available to do other transactions in the marketplace today. And of course we’ve got more borrowing capacity and financial capacity beyond that. So we actually feel we’re very liquid in terms of a minimum cash requirement, just the nature of our company is we tend to very conservative, we hate doing – loans and transactions, we hate having net debt because we believe there is enough leverage just to the cyclical nature of the mining industry. So we always tend to manage a conservative balance sheet. I know in bull markets people say we have a lazy balance sheet but then again the some more difficult markets they are very appreciative of the strength of our balance sheet. So I think we always operate with a strong balance sheet but I am not going to say we always have a minimum reserve. We believe having these credit facilities and having the cash on hand is there to be used at some point.
Robert Reynolds – Credit Suisse: Okay. Great, guys. So the number on the minimum cash balance you would want to see on the balance sheet?
David Harquail: And I think what you will see is longer-term what we want is no debt on our balance sheet longer-term. And that debt is going to be very temporary. And so that’s kind of the main, and no debt to accompany it.
Robert Reynolds – Credit Suisse: Okay. Great. Thank you.
Operator: There are no further questions at this time. Mr. Axell I turn the call back over to you.
Stefan Axell: Thank you, Sally. For your calendars we’re anticipating releasing our Q2 results after market on August 6th the conference call being held early in the morning. And I want to thank everyone for joining us this morning and your continued interest in Franco-Nevada.
Operator: This concludes today’s conference call. You may now disconnect.